Operator: Ladies and gentlemen, thank you for standing by. Welcome to Best Buy’s Q2 Fiscal Year 2019 Earnings. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded for playback and will be available by approximately 11:00 a.m. Eastern Time today. [Operator Instructions] I’ll now turn the conference call over to Mollie O’Brien, Vice President of Investor Relations.
Mollie O’Brien: Good morning and thank you. Joining me on the call today are Hubert Joly, our Chairman and CEO; and Corie Barry, our CFO. During the call today, we will be discussing both GAAP and Non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures and an explanation of why these non-GAAP financial measures are useful can be found in this morning’s earning release, which is available on our website investors.bestbuy.com. Some of the statements we’ll make today are considered forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These statements may address the financial conditions, business initiatives, growth plans, investments and expected performance of the Company and are subject to risks and uncertainties that could cause that could cause actual results to differ materially from such forward-looking statements. Please refer to the Company’s current earnings release and our most recent 10-K, for more information on these risks and uncertainties. The Company undertakes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. I will now turn the call over to Hubert.
Hubert Joly: Good morning, everyone, and thank you for joining us. I will begin today with a review of our second quarter performance and provide an update on our progress as we continue to implement Best Buy 2020: Building the New Blue strategy. I will then turn the call over to Corie for additional details on our quarterly results and our outlook. We are happy to report strong top and bottom line results for the second quarter that exceeded our expectations. We grew our Enterprise comparable sales by 6.2% and we delivered non-GAAP diluted EPS of $0.91, which is up 32% compared to last year. The top-line performance was broad-based with positive comparable sales across all channels, geographies and most product categories. Our strong revenue growth was helped by the favorable environment in which we operate and driven by how customers are responding to the unique and elevated experience we’re building. We are particularly encouraged with the continued progress of our Net Promoter Scores and our continued market share gains. We also saw our second quarter non-GAAP operating income rate expand by 20 basis points to 3.8%, this fits with our guidance for flat operating income rates for the year, driven by our ability to drive cost take out that helps offset investments and pressures in the business. So, I want to thank all of our associates across the Company for their hard work in delivering these great results. So, we’re pleased with the strength of our financial performance. We’re also excited about the progress we’re making as we execute our Best Buy 2020 strategy which entails expanding what we sell and evolving how we sell. Let me provide a few highlights, starting with our acquisition of GreatCall. Earlier this month, we announced our intent to acquire GreatCall, a leading connected health services provider for aging consumers. GreatCall offers easy to use mobile products and connected devices tailored for seniors. These are combined with a range of services including a simple one touch connection to U.S. based specially-trained agents who can connect the user to family caregivers, provide concierge services and dispatch emergency personnel. Our acquisition of GreatCall is exciting for five reasons. First, it is right in line with our strategy. Our purpose as a Company is service to enrich lives through technology by addressing key human needs. One of these needs we highlighted during our Investor Day meeting last September is health and wellness, the space we’ve decided to expand into with a focus on aging consumers and how technology can help them live a more independent life. Second reason, the health market is an exciting space, especially as it relates to seniors. There are approximately 50 million people over the age of 65, a number expected to grow by more than 50% within the next 20 years. Helping this fast-growing population live longer in their homes, provide significant benefits not only for seniors and their families, but also for payers and providers. Third reason, we’re acquiring a great company. GreatCall is a profitable, growing, recurring revenue business that already has more than 900,000 paying subscribers and more than $300 million in annual revenue. They have an established expertise in serving the aging population and their caregivers and they have a strong management team and a culture that is well aligned with Best Buy’s. Fourth reason, we see significant value-creation opportunities, driving an attractive return on investment. The combination of their products, services, and expertise with Best Buy assets, including our merchandising, marketing, sales and service capabilities, provides the opportunity to both scale their existing consumer business and pursue commercial opportunities with payers and providers. Finally, we believe this acquisition can be a beachhead for Best Buy in the health space, providing the entry point to more growth opportunities. We expect to close this transaction by the end of the third quarter. We anticipate the impact on our non-GAAP earnings to be neutral this year and next year as we invest in the business and accretive to earnings by our fiscal ‘21. The second highlight of the quarter is the rollout of our new Total Tech Support program. We launched the program nationally at the end of May and we’re pleased with the initial results. Our retail teams are very engaged and excited about the program. And customer sign-ups are in line with our expectations. From a financial standpoint, the impact of the rollout on our domestic gross profit was in line with the expectation we shared last quarter. As a reminder, for $199 per year Total Tech Support members get unlimited Geek Squad support online via chat, in-stores in the palm of their hands with the new Best Buy home app. All their technology is covered, no matter where or when they bought it, as we believe that support should not be limited to a specific product and that the customer need is to have all their technology work together. Members also receive free internet security software and discounts on in-home services and purchases of annual Geek Squad protection and AppleCare service plans. We are working on additional capabilities as we continue to advance the program. And we believe our current rollout is just the beginnings in terms of the benefits we will offer members over time. I think, you’ll all be happy to know that you will be able to purchase A Total Tech Support membership as a gift for someone else this holiday season, which is something customers have been asking us for. A third highlight of the quarter is the launch of the first Fire TV Edition smart TV that’s part of our product development partnership with Amazon. This partnership is a great example of how we are leveraging our expertise and unique merchandising, marketing and sales assets to help leading technology companies commercialize their new products. As a reminder, the TVs are available only in Best Buy stores on bestbuy.com and on Amazon.com through Best Buy as a third-party seller. We’re planning to launch additional models in September and October. A fourth highlight of the quarter has been the rollout of our new brand rallying cry: Let’s talk about what’s possible. The rollout included training sessions or brand rallies across the Company including our stores. Each store dedicated significant time on a Saturday in June to immerse all store associates in the new rallying cry. The rallying cry and the related guiding behaviors which are Be Human, Make It Real, and Think About Tomorrow, are resonating strongly with our associates and are a source of inspiration for all of us. In line with this, the fifth highlight of the quarter is the continuing progress of the proficiency of our associates and of the quality of our execution across channels that is driving enhanced Net Promoter Scores and revenue growth. The level of knowledge of our sales associates and their focus on addressing the needs of our customers in a helpful and inspiring fashion is exciting to watch. In fact, I’m pleased to announce that according to the JD Power 2018 Appliance Retailer Satisfaction Study, Best Buy ranked highest in customer satisfaction amongst appliance retailers for the second year in a row. Another highlight of the quarter is the continued expansion of our In-Home Advisor program. Based on the strength of demand, we’ve increased the number of advisors from 300 in September last year at the beginning of nationwide launch to more than 430 at the end of the second quarter. As a reminder, our In-Home Advisors provides free in-home consultations to help customers address their needs across our full range of products and services. The goal of the program is that the initial consultation is the beginning of a deeper and more relationship-based experience with Best Buy over the long term. Like our Total Tech Support offer, we are early in the journey and expect the program to continue to improve and mature as our advisors are in their roles longer and master with our sophisticated skills, and as we further enhance the sophistications of the tools and systems that help them do their job. In addition, we’re continuing to use technology to improve and streamline the online buying experience for our customers and to bring together the advantages of our various channels in a way that is intuitive to customers. As a result, based on the data we have, we believe we are continuing to gain market share online. And while are of course focused on continuing to drive online revenue, we are more and more focused on how to build deeper relationships and drive total revenue from customers. We are pleased with our overall revenue growth and the progress we are making on continuing to improve the customer experience across all the ways our customers want to engage with us. For example, to further improve the buy online pickup in store experience, our mobile app home screen will display the order ID barcode when an online order is ready for pickup in a store, reducing the amount of time the customer has to spend at the pickup counter. Another example is related to improving the research process. Customers perform research in stores by scanning product tags and getting information and reviews. However, they often lose track of products discounts once they leave the store. And so, we’ve added a feature called scan history to the Best Buy app to retain customer’s product scan and scan to compare history so that they can reference it and continue research after leaving the store. So, as we implement our Best Buy 2020 strategy and in support of expanding we sell and evolving how we sell as I just outlined, we’re continuing to invest in a range of enablers across technology, people and supply chain. Specifically, we’re continuing to invest in areas such as specialty labor, enterprise customer relationship management, knowledge management capabilities, and our new service platform. In the supply chain area, we are investing to increase capacity, further increase speed of delivery and drive efficiency. As an example of this, we recently opened a new distribution center in Compton, California. Compared to the old center we were leasing in Chino, California, the new distribution center is wholesale to consumers with 50 million consumers within 50 miles. This center has significantly more capacity for our growing large cube categories like large appliances and large TVs. And as a result, we’ve seen significant improvements in our productivity and home delivery Net Promoter Scores. We’re also using a section of this 600,000 square foot facility to build out a completely new automated system that will facilitated faster and more efficient online order delivery to the local metro area as well as the whole West Coast. To help offset our investments and pressures in the business, we continue our long-standing diligence on increasing productivity and decreasing cost. Our current target established in Q2 of last fiscal year is $600 million in additional annualized cost reductions and gross profit optimization to be completed by the end of fiscal ‘21. During the second quarter, we achieved approximately $70 million in additional annualized reductions, bringing the cumulative total to $375 million towards our goal. So, looking ahead. As a result of the strong performance in the first half of year and our updated expectations for the back half, we are raising our full year sales and earnings guidance. We now expect fiscal 2019 comparable sales growth of 3.5% to 4.5% versus our original guidance of flat to 2% and we are raising our expectations for our non-GAAP diluted EPS to a range of $4.95 to $5.10 versus our original guidance of $4.80 to $5. We continue to expect an approximately flat non-GAAP operating income rate of 4.5% for the year. Corie will provide further details on our outlook for the full year and Q3. You’ll note that the profile of the next two quarters is not completely linear as we’re expecting an operating income rate decline in Q3 followed by an increase in Q4 to result in an approximately flat rate for the year. Typical to the past several years, we remain focused on managing the business for long-term success rather than ensuring the straight line quarterly margin performance. In conclusion, we are very excited about the opportunities in front of us, enriching lives with technology and providing services and solutions that solve real customer needs and build deeper customer relationships and the related value-creation opportunities that this entails. So, I want to reiterate how much I appreciate the leadership, passion, talent, ingenuity and hard work of our associates across the Company. You are making it all possible. And now, I’d like to turn the call over to our CFO, Corie Barry for more details on our Q2 performance and our fiscal 2019 guidance.
Corie Barry: Good morning, everyone. Before I talk about our second quarter results versus last year, I would like to talk about them versus the expectations we shared with you last quarter. On Enterprise revenue of $9.4 billion, we delivered non-GAAP earnings per share of $0.91, both of which exceeded our expectations. We saw better than expected top-line results across multiple categories, with home theater, gaming, health and wearables and mobile phones being the largest drivers. Our gross profit rate was in line with our expectations, whereas our SG&A rate was favorable due to the higher revenue combined with slightly lower than expected spend. I will now talk about our second quarter results versus last year. Enterprise revenue increased 4.9% to $9.4 billion, primarily due to the comparable sales increase of 6.2%. Enterprise non-GAAP diluted EPS increased $0.22 or 32% to $0.91. This increase was primarily driven by an $0.08 per share benefit driven by a lower non-GAAP effective income tax rate and $0.08 per share benefit from the net share count change and the flow through of higher revenue. Our comparable sales growth of 6.2% included a 150 basis-point benefit from the calendar shift. As we discussed last quarter, our reported comparable sales are computed on like-for-like fiscal week and are not shifted to more closely aligned calendar week following last year’s 53-week year. For the remainder of the year, in Q3, we expect the calendar shift to have a negative impact of approximately 70 basis points on our reported comparable sales and in Q4 we expect a positive impact of approximately 50 basis points. In our Domestic segment, revenue increased 4.4% to $8.6 billion. This increase was primarily driven by a comparable sales increase of 6%, partially offset by the loss of revenue from 292 Best Buy Mobile and 17 large-format store closures in the past year. From a merchandising perspective, the largest comparable sales growth drivers were home theater, computing, appliances, gaming, mobile phones and smart home. These drivers were partially offset by declines in our digital imaging and tablet category. Domestic online revenue of $1.21 billion was 14% of domestic revenue compared to 13.2% last year. On a comparable basis, our online revenue increased 10.1% on top of 31.2% growth in the second quarter of last year, primarily driven by higher conversion and increased traffic. Let me take a minute to provide a couple of additional points on this topic. As Hubert said, we are pleased with our overall revenue growth and the progress we are making on improving the customer experience. We believe based on the most recent data we have, we are continuing to gain market share online. Regarding our online comp specifically, I would add that the consumer electronics category is a more mature online category than several other retail categories, with customer buying patterns moving online earlier than most. As many of you know, we have been focused on our multi-channel capabilities and have been investing heavily for several years. For example, we have been offering our customers the option to buy online and pickup in store for more than 10 years, and all our stores have been shipping product to fulfill online orders since the beginning of 2014. In the last five years, we have doubled our online sales and on an annual basis, they are now approximately 15% of our total domestic sales. Now, back to our Q2 sales results. In our International segment, revenue increased 10.8% to $740 million. This was primarily driven by comparable sales growth of 7.6%, driven by both Canada and Mexico, incremental revenue associated with six new large-format store openings in Mexico over the past year, and approximately 60 basis points of positive foreign currency impact. Turning now to gross profit. The Enterprise gross profit rate decreased 30 basis points to 23.8%. The Domestic gross profit rate was 23.8% versus 24% last year. The rate decline of approximately 20 basis points was driven primarily by higher supply chain costs from both, investments and higher transportation expense as well as the national rollout of our Total Tech Support offer. Both of these were in line with the expectations we shared last quarter of approximately 25 basis points of pressure each. These pressures were partially offset by higher overall product margin rate, which included the benefit of our gross profit optimization initiative. From a category perspective, increases in the smart home and appliance categories were partially offset by rate pressure in mobile phones and computing. The international non-GAAP gross profit rate decreased 200 basis points to 23.1%, primarily due to a lower year-over-year gross profit rate in Canada, driven by lower rates in the home theater and mobile phone categories. Now turning to SG&A. Enterprise SG&A was $1.88 billion or 20% of revenue, which increased $47 million but decreased approximately 50 basis points versus last year. Domestic SG&A was $1.71 billion or 19.8% of revenue versus $1.67 billion or 28.2% of revenue last year. The $43 million increase was primarily due to growth investments, which include specialty labor, higher depreciation expense, and higher variable costs due to increased revenue. These increases were partially offset by cost reductions and lower incentive compensation. The specialty labor investments include additional dedicated labor in areas such as In-Home Advisor, appliances, and smart home. In addition, it also includes the impact of competitive wage and benefit investments we have made in relation to rising wage rates across the retail industry. As we’ve stated in prior quarters and on our investor day, increasing wage rates are an ongoing pressure in our business that we are balancing with a combination of returns from a new initiative and ongoing cost reductions and efficiencies. International SG&A was $165 million or 22.3% of revenue, versus $161 million or 24.1% of revenue last year. The $4 million increase was primarily due to increased variable costs associated with higher revenue and the negative impact of foreign exchange rates. On a non-GAAP basis, the effective tax rate decreased to 25.4% from 32.6% last year. The lower effective tax rate was primarily due to the reduction in the U.S. statutory corporate tax rate, as a result of tax reform. From a cash flow perspective, we ended the second quarter in line with our expectations. We returned approximately $500 million to shareholders in the form of share repurchases and dividends. As it relates to our acquisition of GreatCall, we plan to use existing cash for the $800 million purchase. The acquisition of GreatCall is not expected to impact our previously communicated plan to spend $1.5 billion on share repurchases this fiscal year. I would not like to talk about our annual and Q3 guidance. As Hubert mentioned, we are raising our full year guidance for revenue and EPS to reflect the outperformance in the first half of the year and our expectations for the back half. For the full year, we are now expecting the following: Enterprise revenue in the range of $42.3 billion to $43.7 billion; Enterprise comparable sales increase of 3.5% to 4.5%; non-GAAP operating income rate of approximately 4.5%, which is flat to fiscal 2018’s rate on a 52-week basis; non-GAAP diluted EPS in the range of $4.95 to $5.10, an increase of 12% to 15%, this represents an increase of 17% to 21% when compared to fiscal 2018 on a 52-week basis; a non-GAAP effective income tax rate of approximately 24.5% and capital expenditures of approximately $850 million. There are assumptions in our annual guidance that I would like to remind you of. We continue to expect the Best Buy Mobile small-format store closures to negatively impact revenue by approximately $225 million, with flat to slightly positive impact on our operating income. Our investments, in particular in specialty labor, supply chain, and increased depreciation related to strategic capital investments and ongoing pressures in the business, including approximately $40 million of lower profit share revenue in the fourth quarter will be partially offset by a combination of returns from new initiatives and ongoing cost reductions and efficiency. Specifically, the higher supply chain costs from increased investments and higher transportation expense are expected to pressure the domestic gross profit rate by approximately 25 basis points. The national rollout of Total Tech Support is expected to pressure the domestic gross profit rate by approximately 15 to 20 basis points. Also, our guidance reflects lower annual incentive compensation expense in the fourth quarter as at the beginning of the year we reset our performance target to align with our 2019 expectations. Finally, our guidance does not reflect any impact from the GreatCall acquisition, as we are pending close of the deal. As Hubert stated earlier, we expect the impact of the acquisition to be neutral to our non-GAAP earnings in fiscal 2019. As Hubert also mentioned earlier, the quarterly composition in terms of year-over-year operating income rate performance is not linear and we expect more pressure on our operating income rate in Q3 than the other quarters in the year. I would note that this is consistent with how we saw the composition of the quarter’s unfolding at the beginning of the year. Our Q3 outlook is as follows: Enterprise revenue in the range of $9.4 billion to $9.5 billion; comparable sales growth of 2.5% to 3.5%; Domestic comparable sales growth of 2.5% to 3.5%; International comparable sales growth of 2% to 4%; non-GAAP diluted EPS of $0.79 to $0.84; a non-GAAP effective income tax rate of approximately 25%; and our diluted weighted average share count of approximately 281 million shares. A few additional comments specific to our third quarter guidance. As I mentioned earlier, the calendar shift is estimated to negatively impact Q3 domestic comparable sales by approximately 70 basis points. We expect to see our gross profit rate pressured due to the following. One, approximately 30 basis points of gross profit pressure from supply chain, including increased investments as well as higher transportation costs; two, approximately 20 basis points from the rollout of Total Tech Support as we incur costs as members tend to repeat services and discounts immediately when they join the program while we recognize the related revenue equally over 12 months; and three, while we experienced these pressures in Q2 as well, we partially offset them with better year-over-year merchandise margins including the impact of gross profit optimization initiative. As we knew in plan [ph] for when we entered the year, we are lapping a unique collection of benefits that occurred in Q3 of last year and thus do not expect as much merchandise margin expansion in Q3 of this year. We expect the SG&A dollar growth rate to be in the low single digits. This is largely due to higher investments, particularly higher depreciation expense and specialty labor including investments in competitive wages and benefits. In addition, due to timing of incentive compensation accruals last year, we expect to see slightly higher incentive compensation costs in Q3 before the material year-over-year decline expected in Q4. Finally, due to the calendar shift this year, which results in Q3 ending a week closer to the holiday season, we expect to end the third quarter with an inventory balance increase of approximately 18% compared to the third quarter of last year. On a like-for-like calendar basis, our Q3 ending inventory balance is expected to be up just slightly compared to last year. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] We’ll take our first question Michael Lasser from UBS.
Michael Lasser: Good morning. Thanks a lot of for taking my question.
Hubert Joly: Good morning, Michael.
Michael Lasser: What the slope of growth in services going to look like from here? Should we expect that that particular comp rate should accelerate? And as that becomes a bigger piece of the business, how is that going to affect the gross margin over time?
Corie Barry: Yes. I’ll start and then Hubert can add. And you were cutting out a little bit, but I think what you were looking for was the slope of the growth on services and how that could potentially impact the margin profile. Obviously pleased with the growth that we saw and reported in Q2. But most of that growth transparently is still coming from our more traditional warranty business. Obviously, we’re starting to see revenue flow from the Total Tech Support offer, but that is as we’ve talked about, amortized over 12 months, so takes a little bit longer to ramp. We were excited about the trajectory of the business and believe especially as we get deeper into the growth trajectory of Total Tech Support that will help add some of that ongoing growth to the topline and the stability of the business. And so, we’re not going to guide services in particular. But at the end of the day we like, and the subscriptions are right inline where we thought we would be at this point and they’re going to start to add value, particularly as consumers still see value in the existing warranty portfolio that we offer in the business. To your point on the margins specifically, as we delve deeper into and have more of that recurring relationship with our customers, that is certainly not harmful on a margin basis over time, but what’s more important to us genuinely transparently is making sure that we’re serving the customers and we’re developing that longer term, stickier relationship with them. That’s really what we’re most focused on at this point.
Hubert Joly: Yes. I was going to comment on that -- the Best Buy 2020 strategy, as strong solutions and services orientation, but it is not always translated into service revenue. And a clear example of that is the In-Home Advisor program. As I said on the call and as you know, the first visit is free and then and it results in sale into products and some services revenue. The broader orientation is really focusing all of our activities on the customer needs and building the relationship with the customer. The biggest opportunity is in the expansion of our share of wallet of our existing and prospective customers, which is still today around 25%, 26%, as we discussed at our Investor Day. So, while we report and track services revenue, the strategy is much bigger than this particular line in revenue breakdown.
Michael Lasser: And Hubert, I have one more question for you. Given the healthy results that the vast [ph] merchant achieved in the consumer electronics category this quarter, is this the point in the cycle where there is going to be a handoff from the specialty channel to the mass channel? And if not, why is this time different?
Hubert Joly: So, again, you’re cutting a little bit in and out. I think you were asking about whether we intend to have a handoff of our business to the mass channel. The clear answer is absolutely not. We noted, like everyone else, the strong results of number of other retailers including in the category. Bear in mind that everybody’s business is different in terms of mix. So, depending on their category and the quarter, the headline number can be high. But, we note that we continue to gain market share across all of the categories that we compete in. And there is absolutely no intension to have a handoff. We are polite and sort of nice, but not to this point. We think that we are building an elevated and unique customer experience. If your customer that is excited about technology and is looking for help and support and a relationship, we are building something that’s very, very special. And we feel it’s working. So, I know in the past, there has been this idea that once technology matures, it goes to the mass channel and then we have to move on. That’s not at all what we are seeing; that’s not at all the intention. And we’re very excited about the opportunities we have to build a very unique customer experience and deep sticky customer relationships.
Operator: And we’ll take our next question from Matt Fassler with Goldman Sachs.
Matt Fassler: Thanks a lot and good morning. I’d like a little more color on the comments you made on online and the maturation of online. Obviously, there is lots of nuance I’m sure within that. Are there categories that are still growing at a rapid rate online? And is there ongoing innovation that you think could reignite elements of the categories you think about your e-commerce opportunity here?
Hubert Joly: Thank you, Matt. To be clear, we continue to very excited by online and all of the digital capabilities we’re building for our customers. When I see how we’ve evolved over the last 5 or 6 years, customer experience on the site and the app, the delivery, all of this, we look at things and I say, oh my God, our teams are really doing some great things. What we are referring to is a number of things. One is, as you will all appreciate, consumer electronics was one of the first categories that started to move online, and so the overall penetration is higher than in other categories. In fact, in our business, online is about 15% of our business. So, we’ve doubled the business, we’ve gone from $3 billion six years ago to now $6 billion. You’ll also note that we’ve been a pioneer. I mean, we’ve been doing in-store pickup for more than 10 years and we started ship from store in 2014. So, with our teams, we continue to be investing in the shopping experience, but the angle is shifting a bit and is in line with our Best Buy 2020 strategy, which is to build a broader customer relationship with our customers across all the touch points to use technology to improve the experience whether it’s in research, whether it’s in the shopping, whether it’s in services with our Geek Squad, we’re able to remotely help you with the support of your product. So, on a category-by-category basis, there is some products when there is a hot game console that tends to fly off the shelf. It’s really a well-known product and commodity. When it’s a more complex buying experience, then the customers will appreciate having conversation, seeing the experience -- experiencing the products in the stores and so and so forth. So, I think yes, it’s maturing, we’ll continue to invest but it’s a broader approach in the category. Corie, anything you’d like to add, no? Okay.
Matt Fassler: If there is an opportunity for a very brief follow-up within that context, the entertainment software business reaccelerated having declined in Q1 and outperformed the chain against the very tough compare. Any specific drivers of that category’s bounce back?
Corie Barry: Yes. So, what we saw, there was some -- a little bit unexpected strength in gaming and a couple of facets on that. One, as we talked about before, we tend to over index on gaming consoles. And that is where we saw some particular strength across consoles. And secondarily, as we mentioned last quarter, we continue to see strength in some of the accessories and peripherals as games like and social games, in particular like Fortnite take off, there are accessories that tend to make that a more compelling gaming experience. And so, we saw a little bit better results even than we expected in that category.
Operator: And our next question comes from Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli: Good morning, guys. Can you please talk about your latest thoughts on the potential impact of tariffs and specifically how you view the price elasticity in the categories where you see risk?
Hubert Joly: So, there’s been a number of waves tariff increases over the last several months, starting with select appliances, and then the $36 billion with China followed by another $14 billion with China at the rate of 25%. Those results in our guidance reflect the impact of these tariffs. Not surprisingly, when there is a price increase, there is an impact. And in that context, while we -- I’m going to say, [indiscernible] the administration is doing some very important international trade goals, and these are difficult negotiations. We’ve been in dialogue with them on how to minimize the impact on consumers, and you’ve seen that in the $50 billion, the 36 plus 14, there is less consumer electronics products than originally contemplated. So, I think specifically it’s been reported that the tariffs have had some impact on appliances during the first half of the year. It’s not completely easy to measure, because a lot of the appliance purchases -- the stress situation where your fridge is broken, it’s not a discretionary decision, which is why we’re going to continue to be in close dialogue with the administration as we look ahead to minimize the disruption on the U.S. consumer and the U.S. economy.
Scot Ciccarelli: Are there specific areas in terms of price elasticity where to the degree that there is price increases that you’re kind of forced to pass on where you don’t think you can make it up in the velocity?
Hubert Joly: Yes. Specifically, the impact is going to be tightly linked to the gross profit margin rates on the products. When gross profit rate is very low, then -- let’s say 25% -- let’s say gross profit rate is 20% on that particular product, 25% increase in the tariff is going to essentially result in a 20% price increase. There are material members. On the other hand, anytime our gross profit rate is materially higher, so let’s say 50%, then the impact, if we pass everything along is cut in half. And so, that’s a key differentiator. Of course, it’s also related to the ability of our vendors to observe the tariffs, and of course we are having negotiations, or over time, usually not in the short term but over time, to diversify the supply base. So, it’s a complex undertaking. Of course, we are very much following this and ongoing dialogue continues as we want to be sensitive, and I know the administration is as well, to the impact on the American families, workers, schools, small businesses and so forth.
Operator: And we’ll take our next question from Chris Horvers with JPMorgan.
Chris Horvers: Thanks. Good morning. Can you talk a little bit about the home theater strength that you saw in the quarter? Maybe parse out the share that you’re seeing the there, unit growth versus ASP, and whether or not the Amazon partnership sort of lifted that comp as a result of Prime Day and the launch of the product?
Corie Barry: So, good morning, Chris. What we did see and what we like is very strong market growth, and leading to very strong consumer interest in the category. So, that is one of the most exciting things. Obviously, per what we can see in NPV, TVs were up double-digit growth in Q2. So, that is excellent. Also, similar to the industry and what we could see in the industry, units were up, while ASPs were down. We are lapping some pretty significant share gains from TVs last year. And we saw just a little bit of share decline, but honestly on the size of the industry strength, we saw very minimal and in fact less than we saw in Q1. So, we like the positioning, we’re excited that the consumer is adopting it. And we’ve always said, we’d expect that our share gains moderate over time. We also said we wouldn’t expect them to drop off a cliff and to completely off the business to Hubert’s point. And so, we like that the consumer is excited, we like the amount of volume that we’re seeing in the category and we very much like our positioning within it.
Chris Horvers: Understood. And then…
Corie Barry: I’m sorry, the part of your question. Let me make sure I hit on, you asked specifically about Amazon. Obviously, we’re not going to comment on specific skews. But partnerships like this and the idea of interesting technology evolution continuing in categories like this, I think that’s what’s actually more important because I think this idea that we can showcase these technologies in unique way that no one else can, that’s what’s the real differentiator here. So, while I’m not going to give you exactly what those skews delivered, certainly we like the idea being able to showcase this technology that no one else really can.
Chris Horvers: Understood. And then, help us think about the fourth quarter. It looks like your implied comp for the fourth quarter, based on the rates is sort of flattish, I think at the high end. So, can you just reflect back and talk about what last year what you thought was sort of one time in shift versus what you really think the underlying business will look like in the fourth quarter ex those shifts?
Corie Barry: Yes. So, based on the comp deltas that we’re seeing, and remember we have the 53rd week in Q4, so it gets a little tricky. The guide would imply a comp of basically flat to up 3%, somewhere in that range for Q4. And so, within that as we’re lapping what we saw last year. Remember, last year we specifically called out some incredible strength in gaming, particularly due to the switch which we knew we would be comping against this year. And last year, we were comping against some of the product availability issues from the year prior, so two years ago. Those are the pieces that we’ve factored out. And instead what we’re looking at is we head into Q4 this year is some of that continued strength in those very four categories, smart home, computing, home theater, appliances, the places that we feel very strong about our positioning with the consumer and what we bring to the table.
Operator: And we’ll take our next question from Zack Fadem Wells Fargo.
Zack Fadem: To clarify on the tariffs on appliance prices in the quarter, it looks the category was up 10% in the U.S. but could you speak to the impact of pricing here versus unit sales? And with higher prices, have you seen any signs that demand could be softening or perhaps behavior is changing in favor of trade down in the category, anything like that?
Hubert Joly: We’re of course very pleased to report, I think it’s the 31 consecutive quarter of positive comps in appliances. We believe that the low double digits comparable reporting represents another market share gain in the category. It is true that in certain sub-segments, longer in particular, this is where you’ve seen the price increase. And so, -- but it’s -- appliance -- it’s about a quarter maybe of the total category, so it’s not the end of the world. In terms of macro factors which is your question with what’s happening in the housing and so forth, appliances are driven by new housing but also renovations and moves and so forth. So, we’re watching the sector, but we’re also watching the fact that as we discussed in previous quarters there is a significant change in the competitive landscape and significant tailwind from the competitive situation. And so, we believe revenue growth is principally driven by the continued strength in the category because it’s fluctuate -- positive category. And the market share gains which themselves are driven by the competitive situation and the continued improvements we’ve made in proficiency, the specialty labor investments we’ve made, the supply chain investments we’ve made and so forth. So, we continue to be upbeat and positive around this category as we move forward. We have talked about in addition to this, during Investor Day, about the favorable demographic aspects with the millennials finally leaving their parent’s house and which leads them have to invest in all of the shiny objects we sell in our stores appliances and others as well. We continue to monitor this, but this is what we see at this point.
Zack Fadem: Thanks, Hubert. That’s helpful. And with the national Total Tech rollout, could you speak to how your initial customer adoption trends compare to your test markets? And for the pilot markets where you’ve now been there for more than a year, could you also comment on what you’re seeing on the renewal rates there, and if you’re seeing any easing of the initial gross margin pressure? Thanks.
Hubert Joly: So, the sales activities are very consistent with the pilots in the U.S., even though of course during the pilots, we had a whole range of options, we were testing, but at the highest level, it’s very consistent. In terms of the renewal rate, the pilot is not truly indicative at this point, because we did not have credit card on file as an option when we were initially piloting and we rolled this out as part of the national expansion. So, we’re going to have to wait for longer to have the read of that. And I think as I said in the prepared remarks, the impact on gross profit is very much in line with the expectations we had indicated when we launched this. And the situation is different from that we have seen in Canada.
Operator: And we’ll take our next question from Greg Melich with MoffettNathanson.
Greg Melich: Hi, thanks. I have really one follow-up question and then one will little longer term. So, the longer term one I would say is about the cash flow. I think, Corie, you mentioned cash will be used for the acquisition. As you’re thinking about next year, now that we’re -- lots changes since the Analyst Day, how much cash do you want to run the business and how you’re thinking about the dividend versus buyback structure and leverage ratio going into next year?
Corie Barry: Yes. So, obviously, I’m not going guide at this point an exact cash balance. But, it’s clear that we’ve been working that cash balance down here over the last couple of years, in particular with some of the more aggressive buybacks and dividends. We’re not going to guide next year at this point. We’ll do that as we head in. But you can see that and especially us using cash on hand as well as for the acquisition of GreatCall that we continue to work that down to a place that we feel is not just suitable to run the business but suitable to help us in any large kinds of unexpected risk. And we’ll continue to work that down. As it relates to our capital allocation strategy, we’ve stayed very consistent with that, not just at Investor Day but prior to that where we’ve said priority one is to invest in the business, whether that’s in a form of the capital we’re using internally or whether that’s in the form of an acquisition like GreatCall. After that, the next priority being a premium dividend payer for our shareholders, and then finally returning excess cash through share repurchases. And that remains our strategy going forward. And we’ll provide more clarity on exactly what that means for next year as we head in.
Greg Melich: Got it. And then, the follow-up is just to understand the comp a little better, the make-up of it, there has been a lot of talk of pricing and tariffs et cetera. Could you help us understand, of that 6% comp, how much would have been ticket growth as opposed to number of transactions, just maybe a mix or a balance of it?
Corie Barry: So, in the comps -- let me just take a big step back, broadly across our channels, what we saw was actually increases in traffic, increases in our transactions and increases in our close rate or our conversion if you think about it that way. So, when we meld all our channels together, and that’s what’s most important to us, that’s what we saw across everything. And that’s been a relatively consistent as we’ve had last few quarters here. In terms specifically of tariffs, the super minimal at this point is you’re basically talking about laundry where they’ve been impacted or a few smaller categories. So, it’s a tiny little slice; that is not going to be the driver at this point. More so, what we’re excited about is that the underlying drivers across the channel have remained pretty consistent with good traffic, good conversion and therefore very nice transaction growth.
Operator: And our next question comes from Anthony Chukumba with Loop Capital Markets.
Anthony Chukumba: Good morning and congrats on another very strong quarter against a very tough comparison.
Hubert Joly: Thank you.
Anthony Chukumba: I wanted to just quickly touch based on the GreatCall acquisition. You mentioned some of the different opportunities to scale the business and engrave the business. I guess, I was wondering about Assured Living from two perspectives. One, how did your experience with Assured Living sort of informed the GreatCall acquisition? In other words, I would have seen that maybe you’re happy with the results of the Assured Living and that’s why you started to do the GreatCall acquisition. And then, two, how are you planning to integrate, if at all GreatCall with Assured Living? Thank you.
Hubert Joly: Let me start with the second part. We will be initially running GreatCall as a separate entity because it is a different business. We will be -- and we’ve studied -- we have a number of, as you would expect, integration task forces, pursuing targeted value creation opportunities, in particular related to selling the existing products, like Jitterbug phones more aggressively, if I can put it this way, it’s been in our stores for a long way but we both GreatCall and Best Buy teams feel, there is more that we can do there. So, it’s going to be a separate business with targeted points of integration, targeted value creation opportunities. Most of GreatCall’s business today in these consumer products. They have a small but promising business that’s another good Assured Living. And across both Assured Living and GreatCall, we believe we have a -- there is an exciting opportunity in this idea of monitoring the behaviors in health of seniors in their homes with potentially very significant benefit of course for the aging seniors, their caregivers as well as the payers and providers. Today, in both cases, this is a small business. We think the potential is material, which rests in part on the ability to demonstrate the solution as a material benefit, as I indicated. And we’re going to be working together to see we go after this market. So, think in this area, small parallel tracks with a big opportunity down the road.
Anthony Chukumba: Got it. And so, just one, not even a related follow-up question but just more of a comment. I’m really glad to hear about Minnesota [indiscernible] but you’re not going to give away all your market share to the mass market. So, good to hear.
Hubert Joly: How is that coming from a Frenchman who’s been in Minnesota for 10 years, I’m learning still the local practices.
Operator: And our next question comes from Curtis Nagle with Bank of America.
Curtis Nagle: Good morning. Thanks for taking the question. So, I just wanted to follow up a little on the growth in the home theater. So, as commented, it was a nice pickup, particularly in units. I guess, what’s driving it? Is it interest in OLED, or HDR, continued trade up or something else that’s caused the pickup?
Corie Barry: Yes. I think you’ve got a couple of things going on. And we’ve been talking about them for a while. I think speed of adoption has increased. And so, it’s a combination of larger screen sizes, so the idea of more fits in the home and you have the very nice form factor that’s coming with new TVs. And then secondarily, those being coupled with higher technologies, 4K, HDR, particularly in those spaces incredibly available now. And I think those two combined with price points now that have come down to a range that feels like more and more people are ready for adoption here. I think you just hit a bit of the sweet spot between those things. And again, it’s part of why we said we feel uniquely well positioned, because when those become some of the important pieces, being able to see it and be able to really have a line of sight to how this will look in my home and exactly what technology I’m buying is pretty important. But I think you just have this real sweet spot now between lot more size for the money, a great technology that fits behind it, things more 4K, HDR kind of technologies and at a price point that makes sense for my budget.
Curtis Nagle: Okay. That makes sense. And then, just a quick follow-up. Forgive me, if you gave this out already. But, what’s the expectation for the free cash flow for the year?
Corie Barry: We haven’t guided free cash flow specifically. And that’s why we’re kind of just updating you each quarter they come. But where we are now right now is exactly where we had expected to be at this point in the year.
Operator: And we’ll take our last question from Peter Keith with Piper Jaffray.
Peter Keith: Hi. Thanks. Good morning. Good quarter, guys. One, to just dig into the In-Home Advisor a little bit. You clearly ramped that up. Could you give us an update, if that’s starting to move the needle on the same store sales, now that you’re annualizing that rollout? And as a follow on, are there any categories where IHA is over-indexing to that that would might be able to see some of the outperformance working?
Corie Barry: Yes. Peter, we -- as you said, we continue to expand our IHA program and have done that as we said we always would, in line with the demand that we’re seeing in the marketplace. Obviously, we’re not going to give out exactly about the revenue associated with IHAs. But, you can be rest assured that it was both part of how we guided and part of over-achingly where we’re seeing strength in the business. In terms of categories where we tend to see strength, as we talked about before, home theater is a very nice lead into things that you want to do in your homes. But, we’ve also seen some nice strength in what I’ll call, broadly, smart home and networking, this idea that somebody can come in and help me figure out how these things work together, as well as a better foray into some of the appliance space where I can actually have someone physically help me walk through. And one of the hardest things about appliances is to figure out how to measure them. And so, when you have someone who is there to help you with what’s to have, what’s not, what exactly am I trying to get in the space, we’ve also found that to be helpful. So, those -- as you would expect, those tend to be the leading categories. And now, we’re just starting to get our arms around and building on a great feel for yet is as you use those as kind of your foray or your first run categories than what do you see over time in some of those more secondary categories. And we’re still, like I said, learning in that space, but we like that. It’s stretching across the home into a few of the different rooms and capabilities.
Hubert Joly: Very good. As we conclude this call, I want to thank you for your continued interest in your work on Company. And of course we have immense appreciation for the Best Buy teams across the business for what they do for customers and for our shareholders every day. You all have a great day. Thank you.
Operator: And that does conclude today’s conference call. Thank you for your participation. You may now disconnect.